Operator: Hello, and welcome to the First Quarter Earnings Conference Call for Amphenol Corporation. [Operator Instructions] At the request of the company, today's conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to introduce today's conference host, Ms. Diana Reardon. Ma'am, you may begin.
Diana G. Reardon: Thank you. My name is Diana Reardon, and I'm Amphenol's CFO. I'm here together with Adam Norwitt, our CEO, and we'd like to welcome you all to our first quarter call. Q1 results were released this morning. I will provide some financial commentary on the quarter, and Adam will give an overview of the business and current trends. We'll then have a question-and-answer session. The company closed the first quarter achieving sales of $982 million and EPS of $0.77, hitting the high end of the company's guidance. Sales were up 4% in U.S. dollars and 5% in local currencies compared to Q1 of 2011. From an organic standpoint, excluding both acquisitions and foreign exchange, sales in Q1 2012 were about the same as last year. Sequentially, sales were up 3% in U.S. dollars and 2% organically from Q4. Breaking down sales into our 2 major components, our Cable business which comprised 7% of our sales, was up 17% from last year and 20% from last quarter. The Interconnect business was comprised 93% of our sales, was up 3% from last year and 2% sequentially. Adam will comment further on trends by market in a few minutes. Operating income for the quarter was $185 million compared to $186 million last year. Operating margin was 18.9% in Q1 2012, up from 18.5% in Q4, a strong sequential conversion margin of approximately 30% from Q4. Q1 2012 ROS of 18.9% compares to a very strong Q1 2011 ROS of 19.8%. Year-over-year reduction in Q1 is mainly attributable to lower margins in our Interconnect business which were 21% in the quarter compared to 22.1% last year. This was partially offset by an improvement in the margin in our Cable business from 11.8% last year to 14.5% in the most recent quarter. Reduction in Interconnect margin relates primarily to the impact of increases in material input costs versus the prior year, particularly for precious metals and plastics. These impacts were partially offset by the positive impact of cost reduction. From a sequential standpoint, operating margins improved 40 basis points to 18.9%. This margin improvement relates to good margin expansion on incremental volume in both the Interconnect and Cable businesses with Interconnect margins increasing 20 basis points to 21% and Cable margins increasing 140 basis points to 14.5%. In addition, corporate expenses were essentially flat on higher sales contributing 10 basis points to overall operating margin improvement. We are very pleased with the company's operating margin achievement this quarter. 2012 has began with a more balanced operating environment from a cost inflation and demand perspective, and in that more normal environment, the management team has achieved strong sequential improvement in margins and remains fully committed to further margin expansion as business volumes grow. Interest expense in the quarter was $13.7 million compared to $10 million last year, reflecting higher average debt levels from the company's stock buyback program and the higher interest expense associated with the company's January senior notes offering. Other income was $2.2 million in the quarter, up from $1.7 million last year, primarily as a result of higher interest income on higher levels of cash and short-term cash investment. The company's effective tax rate in the quarter was 26.8% compared to a rate of 27.5% from the first quarter of last year. For the full year 2011, excluding onetime items, the company's effective tax rate was 26.8%, and we currently expect a similar tax rate for the full year 2012. Net income was approximately 13% of sales in Q1, a very strong performance. Orders in the quarter were $1,028,000,000, up 7% from last year, resulting in the book-to-bill ratio of approximately 1.05:1. In April of this year, the company completed the acquisition of Nelson-Dunn, a U.S. manufacturer of high-technology value-added interconnect assemblies for the oil and gas market with annual sales of approximately $45 million. This acquisition complements and strengthens the company's offering of harsh environment products for the fast-growing energy markets. The company paid approximately $55 million for the company. We continue to be excellent generators of cash. Cash flow from operations was $164 million in the quarter, approximately 130% of net income, and we continue to target cash flow from operations in excess of net income. From a working capital standpoint, inventory was at $659 million at the end of March, up 1% over the December quarter. Inventory days declined 1 day to 88 days. Accounts receivable was $771 million at the end of March, and day sales outstanding fell 2 days at the end of the quarter. Accounts payable was $403 million at the end of March, and from a day’s perspective, improved to 1 day at the end of the quarter. At the beginning of 2012, the company issued $500 million of senior notes due 2022. Notes were sold at a slight discount and carry a 4% coupon. Proceeds from the notes were used to repay borrowings under the company's revolving credit facility, which matures in 2016. At the end of the quarter, borrowings and availability under the facility were $216 million and $784 million, respectively. The note issuance has a number of benefits for the company including the extension and staggering of the company's debt maturity schedule, the continued expansion of the company's investor base and an increase in the company's availability and liquidity. From the basis of the new debt structure, the company expects Q2 interest expense to be up slightly from Q1 levels. Our cash flow from operations of $164 million along with net proceeds from the notes sale of $494 million, cash and short-term investments of $12 million, and $28 million of option proceeds rate were used primarily for repayment of $481 million of borrowings under the company's revolving credit and receivables facilities, net capital expenditures of $32 million, the purchase of approximately 1.5 million shares of the company's stock for $82 million, dividend payments of $2 million and an increase in cash of $106 million. At the end of the quarter, the company had approximately 5.1 million shares remaining for purchase under the 20 million share buyback program that expires in January 2014. At the end of March, cash and short-term investments stood at $743 million, the majority of which is held outside the U.S. Total debt was $1.4 billion, bringing net debt to approximately $652 million at the end of March. Company's leverage and interest coverage ratios remain very strong at the end of the quarter at 1.5 and 20x, respectively. And our EBITDA in the quarter was about $224 million. From a financial perspective, this was an excellent quarter. Before I turn the call over to Adam, I wanted to give you an update on our progress in the flood recovery at our Sidney, New York facility. As we have previously discussed, the company, together with state and local government is in the process of constructing a new facility in the local area outside of the flood zone to house the majority of the company's Sidney manufacturing activities. We expect the construction progress to take approximately 18 to 24 months and require an investment by the company of approximately $40 million to $50 million, offset by government incentives of approximately $25 million to $35 million, for a net investment of approximately $60 million. A portion of the government incentives will be paid out to the company over an 8- to 10-year time period. The company has full support of its customers for the move and does not anticipate any business disruption as a result. Relative to sales, we experienced no disruption in manufacturing activity or sales in the first quarter of 2012, and continue to expect the full recovery of approximately $18 million or so in lost sales as we go through this year. Adam will now provide an overview of the business and current trends.
R. Adam Norwitt: Thank you very much, Diana, and I'd like to extend my welcome to all of you here on the phone today. I'm going to spend a couple of minutes to highlight some of our achievements in the first quarter that are notable for my perspective, then I'm going to discuss some of our trends and progress in our served markets, and then finally, I'll comment on the company's outlook for the second quarter and the full year 2012. I'm very pleased to report results in the first quarter above the high end of our guidance, despite continuing uncertainties in the global economic environment. As Diana mentioned, revenues increased 4% from prior year and 3% sequentially. Importantly, orders in the quarter reached a new record, $1,028,000,000, representing a 1.05 book-to-bill, certainly creating confidence for the future. We find it especially rewarding that our management team's intense focus on managing all elements of profitability led to stronger sequential conversion margins and resulted in our operating margins expanding to 18.9% in the first quarter. I'm very proud of the agile and entrepreneurial Amphenol organization. All of them are capitalizing on the many opportunities created by the revolution in electronics and are continuing to demonstrate the strength and discipline necessary to drive strong operating performance for the company. In addition, we're very excited that our acquisition program continued to create significant value for the company. As Diana mentioned, in early April, we completed the acquisition of Nelson-Dunn. Nelson-Dunn is a U.S.-based manufacturer of high-technology value-add interconnect products for the oil and gas market with annual sales of approximately $45 million. This important acquisition builds upon our industry-leading offering of products to oil and gas exploration and drilling customers, allowing us to offer total interconnect solutions to this important and dynamic market. This is a market where Amphenol has very clear leadership position in the interconnect industry. It's also consistent, this acquisition, with our ongoing and successful strategy to acquire complementary companies, strong management, leading technologies and excellent market presence. As we welcome the strong new team to Amphenol, we remain very confident that our successful acquisition program will continue to be a great contributor to Amphenol in the future. Turning to the trends and progress in our served markets. Once again, our results in the first quarter confirmed that the end market diversification of Amphenol is a tremendous asset for the company. First, the military market represented 15% of our sales in the quarter. Sales in that market declined by 9% from prior year on continued conservatism by defense customers. It increased by 5% sequentially as customer demand stabilized and as our flood recovery efforts were completed. While there is still some uncertainty in the defense budgets of many developed economies, we are actually very encouraged to be seeing many clear indications of expanding investments in new electronic functionalities in military equipment. We expect demand in the military market to strengthen further in the second quarter, and we believe that the increase in military electronics is a real opportunity for continued long-term growth in this important market. Commercial aerospace market represented 6% of our sales in the quarter and sales increased a very strong 27% from prior year and 15% sequentially, an increased jet liner production, as well as growing content on new airliner platforms. We continue to be encouraged by the technology transition that is occurring in the commercial air market. New airplanes are adopting innovative electronic features and are incorporating, in particular, new hire technology interconnect solutions to enhance fuel efficiency. Looking forward, we expect stable sales at these higher levels in the second quarter, and we continue to have a positive outlook for this market in 2012. Our sales into the industrial market represented 12% of total company in the first quarter, and sales increased 9% from prior year, as well as 9% sequentially, on stronger demand across most areas of this market. We continue, as a company, to make excellent progress, broadening our technology offering and increasing our penetration of many exciting growth segments of the industrial market including, in particular, alternative energy, oil and gas, heavy equipment and factory automation. In particular, we are very excited anticipate strong momentum in the oil and gas segment with the addition of Nelson-Dunn. We expect the overall industrial market to strengthen further in the second quarter as new interconnect technologies are adopted across a wide variety of applications and segments in this market. Our sales into the automotive market represented 12% of the company in the first quarter. Sales increased a very strong 66% from prior year and 27% sequentially, as we continue to benefit from an increase in vehicle production volumes and new electronics applications, together with a significant contributions from our recent automotive acquisition. We have been very successful in our drive to broaden the company's automotive product offering, both through internal technology developments and our continued focus on acquiring complementary companies in this market. In particular, we're very pleased that, that has resulted in the automotive market now representing 12% of our total sales in the first quarter. We expect demand to remain stable at these higher levels in the second quarter and look forward to continued long-term progress in this exciting market. The mobile devices market represented 17% of our sales in the quarter. Sales decreased 5% from prior year, a stronger sales of products into new tablet computer platforms was more than offset by reductions in sales of mobile phone products due to dynamics in that segment. Sales declined 16% sequentially as expected on normal seasonality. We expect demand to strengthen from these levels in the second quarter and remain excited by our strong position in new smart mobile devices, in particular, tablet computers and the potential that these create in this year. We have a very strong technology position in this important end market due to our comprehensive portfolio of products for mobile devices, as well as our preferred supplier relationships with all major device makers. Mobile networks market represented 10% of our sales in the quarter. Sales decreased 21% from prior year but increased by 6% sequentially. Although wireless spending remains at lower-than-anticipated levels, we are encouraged by this recent uptick in demand as equipment makers are working through their over-inventory positions and as mobile operators resume spending on system upgrades and expansions. We expect demand in the mobile networks market to increase further in the second quarter as operators ramp up their network build-outs in order to relieve the pent-up demand for increased coverage and capacity, which exist on virtually all wireless networks. And we look forward to further long-term strength driven by our broad designing positions on the many new base station platforms, as well as by our strong position with the diverse range of global wireless operators. Information technology and data communications market represented 20% of our sales in the quarter. Sales increased 8% from prior year with strength in particular, in networking equipment and servers, and declined slightly from the fourth quarter on a continued moderation procurement activity by customers in this market. As our customers continue to strive for new levels of equipment performance in order to handle the dramatic expansion of data traffic that's ongoing, our pipeline of new design opportunities with our next-generation products has strengthened significantly. We believe that the recent pause in procurement activities should moderate going forward, leading to higher levels of demand in the second quarter as these next-generation systems are released to the market. Broadband market represented 8% of our sales in the quarter and sales in that market increased a very strong 14% from prior year and 19% sequentially, as we benefited from increased spending by cable operators, as well as from accelerating sales of new value-add products into both cable systems and head-in equipment. We're encouraged by our increasing position with new cable and interconnect products, as well as by our strong position in international markets. In particular, these high-technology products helped in part to support the increase in our cable margins to 14.5% in the first quarter. We expect demand to further improve in the second quarter and look forward to realizing the further benefits of our diversification efforts. In summary, with respect to the first quarter, I'm extremely proud of our organization as we continue to execute well in what is still a very challenging and, no doubt, dynamic market environment. In particular, we're pleased with the company's renewed expansion of our industry-leading margins, as well as our sustained financial strength. Amphenol's superior performance is a direct reflection of our distinct competitive advantages, our leading technology, our increasing positions with customers across the diverse range of markets, our worldwide presence, truly lean and flexible cost structure and most importantly, an agile and entrepreneurial management team. Looking forward, based on constant exchange rates, as well as based on normal seasonal patterns, we now expect for our guidance in the second quarter, as well as for the full year of 2012 following results. We expect sales in the range of $1,040,000,000 to $1,055,000,000, and $4,105,000,000 to $4,190,000,000, respectively. We expect EPS in the range of $0.82 to $0.85 for the second quarter and $3.30 to $3.38 for the full year. For the full year, this guidance represents sales and earnings per share growth of 4% to 6%, and 8% to 11%, respectively. We're very encouraged by the strong outlook in sales and earnings especially given the many continuing uncertainties in the global economy. There is still an ongoing revolution in electronics, and that revolution continues to create many opportunities for Amphenol. I am confident in the ability of our outstanding management team to continue to capitalize on these opportunities and to grow our market position and expand the company's profitability and thereby, to drive the continued superior performance of Amphenol. Thank you very much. And operator, at this time, we'd be very happy to take any questions.
Operator: Our first question comes from Craig Hettenbach from Goldman Sachs.
Craig Hettenbach - Goldman Sachs Group Inc., Research Division: Adam, can you touch on capital allocation? It looks like M&A is coming back a bit, but you're also buying back stock, you recently increased your dividends, so just an update on your overall approach there as you go forward?
Diana G. Reardon: Sure. Maybe I can take that one. I mean, I think that we clearly continue to feel that the company's financial strength is an important strategic advantage that lets us take -- really take advantage of opportunities that come along to deploy that strength as they present themselves. This bond deal that we did at the beginning of the year, I think, even further strengthened the company from a liquidity position perspective. As you know, we used most of that to pay down revolver borrowings. And so at the end of the quarter, we had about $1.5 billion of capacity between the cash and revolver availability, not to mention the strong operating cash flow that the company continues to generate. From a prioritization perspective and to get to your question, I think that we continue to prioritize the use of that financial strength, certainly towards our acquisition program. I mean, this, I think, we both believe that this remains the best strategic and return potential for the company. We closed the acquisition in April, that Adam just referred to, and we continue to see a lot of potential for acquisitions as the industry continues to consolidate. This continues to be a very important focus for the entire team. Last year, as you know, acquisitions contributed just shy of 1/3 of our growth, and we expect to continue to have the program make a strong contribution in 2012 and beyond. In addition to prioritizing the financial strength for use in the acquisition program, we continue to view both stock buyback and dividend as good options to return value to shareholders. Last year, we bought about 13 million shares. In Q1, we bought about 1.5 million shares. We've got just over 5 million left on the current program, and we -- in addition to that increase, we proved an increase in dividend to just under 1% yield, I think, back in the fourth quarter at that time of the announcement. And so as we go along, I think on a quarter-to-quarter basis, we're going to be looking both to continue to fund the acquisition program, and I think you'll also see us look at stock buyback as a good option. We will also continue to reconsider the dividend level as we go along. And I think that you'll see us just deploy a very thoughtful and balanced approach to using the company's financial strength.
R. Adam Norwitt: Let me just also add, Craig, I mean, as much as this all come down to, you have heard many times, us refer to the agility of our management team. And no doubt about it, as Diana works, and I work together with drawing our capital structure, we also strive to have agility and flexibility, and importantly, relative to the acquisition program and we continue to see excellent opportunities in that program. We're very excited. In the last 2 quarters, each of those quarters, we've had a very nice acquisition in a real diverse array of market, and we still have, in our pipeline, great opportunities looking out into the future. It is the market, the interconnect market which naturally creates these great acquisition opportunities. And it is through that financial flexibly that we have, together with the organizational flexibility and the unique structure that we have that makes of those acquisitions so viable and create so much potential value for the company.
Craig Hettenbach - Goldman Sachs Group Inc., Research Division: Got it. If I could just ask one follow-up, Adam, just you commented on the record bookings and 1.05:1 book-to-bill. Can you talk about just the visibility that you're seeing from your customers today and maybe how that compares to recent months?
R. Adam Norwitt: Yes. We're very excited by the bookings in the first quarter, and we had a positive book-to-bill in the fourth quarter as well, and that's really what gives us the confidence to have the strong sequential outlook looking into the second quarter. I wouldn't tell you necessarily that this ability has gotten noticeably better or worse compared to the fourth quarter or the third quarter, I think customers continue to be cautious. We see across all the markets still caution. I mean, every one of our markets, you hear every day about some sort of dynamic, let's put it that way, that is happening. And I think in such an environment where the macroeconomic environment is uncertain and where there continue to be internal dynamics to those markets, customers don't want to overextend themselves. So what does that mean for us as a company? It means that we got to just be reactive, and we got to have our operational excellence at such a pace that we can convert those orders in the short time that sometimes they're given to us. I would not tell you that the orders are due to customers just pulling out the lead time because they now feel very different than they did 3 months ago.
Operator: Your next question comes from Amitabh Passi from UBS.
Amitabh Passi - UBS Investment Bank, Research Division: Adam, my first question just had to do with a couple of your end markets. I think the first one on everybody's mind is an explosion at a chemical facility in Europe. Just wondering if you're hearing or seeing anything from your automotive supply chain, how concerned are you about this? And then just related -- or on the wireless infrastructure side, you talked about some strengthening late in the quarter. Just curious how broad-based that was or were they specific to any certain geographies?
R. Adam Norwitt: Sure. Well, with respect to this unfortunate explosion in Germany, we have not seen any impact to certainly our products. It's not -- the resin that was involved has nothing to do, we understand, with any of the connector or cable assembly products that we make. So we don't have any direct impact. What I understand is that some of the automotive OEMs, in particular, those outside of Europe are somewhat concerned about the availability but that the Europeans are not so concerned. And our product is predominantly sold into the European market. Europe is still the large portion of our automotive business. And we have not heard anything from any of our customers suggesting that this will have any significant ripple effect into our business at this point. Obviously, it's unfortunate. I think some people died in the explosion, and I know that the automakers are convening to try to find a quick solution here. Relative to wireless infrastructure, it is true. We saw some strengthening in the quarter, certainly from a sequential basis, even if it is still down quite significantly on a year-over-year basis. I think there was significant inventory positions that were built. We talked about this last quarter. Where the expectations of our customer going to the fourth quarter were just very different then, in the end, the demands from their operator customer. I think that is starting to work its way out. I think we've seen some of those benefits. And then we're starting to see the early signs, sort of the proverbial green shoot of the build outs of some of these next-generation networks in certain markets, and I think that is manifesting itself as well in that sequential performance. And we look forward to further sequential strength in that market even if still that is -- we're not happy where it is on a year-over-year basis.
Amitabh Passi - UBS Investment Bank, Research Division: And then just as my follow-up, Adam, I was listening to a semiconductor company this morning, and they were talking about the mood in Europe being marginally better. Just wanted to get your perspective, talking to industrial automotive, your broad set of customers, how would you say the general overall mood is spending environment is thus far this year, in particularly Europe?
R. Adam Norwitt: I think it's very hard to say, Amitabh. I mean, I'm not sitting in Frankfurt or the Central Bank here to tell exactly what's going on. Our customers sell a lot of their products outside of Europe, and so I mean, you look at the automotive market, you look at the machine tool industry in a place like Germany, their big market is no longer only in Europe. And so I think that the impact on our business, and on our customers relative to whether that is Spain or Greece or whichever country of the week is causing some problems in that market, we have not seen any significant impact. We saw, in the fourth quarter, some moderation in demand in the industrial market, predominantly driven by distribution where I think the distributors more saw, "Hey, there's a macro issue, we should trim back our stock." As we see actually still continued good performance in Europe and in particular, the growth been driven by sales in the countries like China, of cars, of automation equipment, and robots and things like that. So we have not seen any market change in that. And the kind of clouds that you read about in the paper, yes, they may impact somewhat the mood of customers, but we still see that there's good opportunities there.
Operator: And our next question comes from Matt Sheerin from Stifel, Nicolaus.
Matthew Sheerin - Stifel, Nicolaus & Co., Inc., Research Division: Just a question on another end market, Adam, for you, on the military and aerospace, you talked about the differences in there and obviously sounded more encouraging on the commercial aerospace side. But are you starting to see more stabilization in terms of the Military business? And what's your outlook this year for the defense portion of your business?
R. Adam Norwitt: I think as I mentioned, the Military business, on a year-over-year basis, was down and certainly, we don't like any market to be down, but we're pleased to see that there was a stabilization in the demand, and that we actually grew on a sequential basis by 5% in the Military market. And our outlook for the second quarter would be to have a further sequential improvement in our sales into that market and not all of that came just from flood recovery. It came really also from the stabilization. And the one thing that I would just reiterate is yes, we know that the budgets are what they are, and there's no doubt about it that there will be budget cuts in certain markets, the U.S. being certainly the most notable one. But clearly, our engineering team, the front end marketing organizations that we have in our military businesses, they are working at a pace actually that is quite significant on new electronics application, the customers in the military market. I mean applications, you would normally think, well, that's probably going to get cut. But in fact, the military is striving to find new electronics that can allow them to save in the end money. And whether that is a UAV where you don't have to train the pilot, whether that is an early warning radar system that is different from an AWACS plane, you name it, there are a lot of new technologies that the military is developing today, actually with a real sense of urgency. It will create budget savings over the next decade, and I think it's those areas where electronics create a real bang for the buck that we see the true opportunity to continue to sustain that business, and to have that business be a contributor to Amphenol in the future. And I think what's encouraging over the last couple of quarters is that the design activity. The activity, engineer to engineer, with our customers is not slowing down, and to the contrary, appears to be moving at a pace that would suggest that there's great opportunities ahead.
Matthew Sheerin - Stifel, Nicolaus & Co., Inc., Research Division: Okay, that's very helpful. And just as a follow-up, looking at the incremental margin contribution last quarter, pretty strong at 30%. Looking at your revenue and EPS guidance for the June quarter, that implies sort of a mid-20s number, which is still pretty strong. As we look at through the rest of the year, on a higher volumes, do you expect similar contribution or would that be lower because you're coming off of a lower base here?
Diana G. Reardon: I think, Matt, from a sequential perspective, we're looking to sort of meet or beat the 25% sequential conversion margin target. And we did very well from an execution standpoint in the first quarter. I think the operating team really came through with a strong performance. As you said, that's incorporated also around that 25%-plus level in Q2, and we would expect to continue that type of a performance on a sequential basis as we move through the rest of the year.
Operator: And our next question comes from Wamsi Mohan from Bank of America.
Wamsi Mohan - BofA Merrill Lynch, Research Division: Diana, you noted that the interconnect margins year-on-year were pressured by raw material headwinds, which were offset by some cost reductions. I was wondering if you could talk a little bit about pricing as a lever to offset that pressure. Is it demand environment such that it's extremely difficult at this point to push through price increases, and what are your expectations for price increases as you go through the course of the year, given that the recent book-to-bill trends have somewhat improved?
Diana G. Reardon: Yes, I mean, I think, in general, we feel that the overall environment economically is a lot more balanced than it was last year. I think that last year, there was a real disconnect between the inflationary pressures and demand, so I think we feel better in general about the environment, which I think means that we would expect the relationship between cost and price to be more normal. And in terms of what is the aggregate impact of pricing on the businesses isn't typically a number we compute or disclose because the business is so diversified and the markets really vary. Pricing trends tend to follow the pricing trends that the end equipment that we sell into have. And so you have what is typically some relatively significant price pressure in the communications pieces of the market, and it's less so when you get into the industrial and then into the defense market. But I think that we do feel that the environment is more balanced, and we feel good about the profitability we were able to achieve in the first quarter. Our guidance reflects a continuation of what we would view as more normal conversion margins, allowing us to continue to expand margins sequentially as we go along during the year. So I think that, that balance between cost and pricing, we expect to be better in 2012 than it was last year.
Wamsi Mohan - BofA Merrill Lynch, Research Division: Okay. Diana, and as a follow-up, maybe a quick one for Adam here. For the commercial aerospace market, Adam, can you give us some sense of what the incremental contribution would be if we split it from unit growth and content growth. I mean, it's great if you could give that level of detail, but if not, can you just comment at least on which will be a larger driver, would it be sort of the unit growth, or is it sort of more of the content growth on top of that?
R. Adam Norwitt: Yes, I mean, I'm not going to go into a lot of specifics for competitive reasons, but let me just tell you that as we look forward, obviously, we have some content on existing platforms and as the units go up, that can be a good contributor. But as I've talked about in the past, the new airplane platforms have not only a tremendously higher degree of interconnect content but the technology underlying that product is also more complex. And thereby it's something where our engineering know-how has really proved to show a lot of value with our customers, and thereby our participation is broader. And so I would just tell you that as new platforms ramp up, as they get released, clearly, there is a more multiple -- multiplier effect on that, because the units will grow together as the content grows. And so I think that, that contribution, when those planes reach a full volume, would certainly be more than the contribution of growth of legacy platforms. Today, those new airplanes are still really more in their infancy, and so our growth is probably more balanced between that.
Operator: And our next question comes from Mike Wood from Macquarie Capital.
Mike Wood - Macquarie Research: Historically, you've done a great job leveraging SG&A and lowering percentage of sales. Recently, it seems to be tracking sales growth would be above it. Just given the restructuring you've done late last year, what should we expect from this in the near intermediate future?
Diana G. Reardon: Sure. Look, I think that we have historically, as you mentioned, have done a very good job in terms of managing SG&A cost. And we certainly believe that getting a return on that very important investment is important to the performance of the company. And in Q1, as you point out, SG&A was about 12.6% of sales, and this is about the same percentage that we had in Q4, and actually, a little bit higher than Q1 of last year. We do try to target SG&A to grow at a slower pace than sales, and we've been pretty successful in doing that, I think, on a quarter-by-quarter basis, we do sometimes to have quarters that are a little bit higher. About 1/3 of the increase over last year is really due to higher stock option expense which was included in SG&A. It also includes the amortization of intangibles relating to the acquisitions that we do. So those 2 items put a little bit more pressure on SG&A growth on a year-over-year basis. 12.6% is not the lowest level that we've ever achieved as a company, but relatively speaking, it's still a very low SG&A level and continues to reflect excellent cost control and efficiency by our operating units. And certainly, the benefit of expansion of SG&A and low-cost places, we do continue to deploy a very strong return on investment philosophy with both our sales and engineering efforts. We also believe that having these costs and profit centers will continue to sharpen the focus and align these costs much better with the overall business objective of growth and profitability. So we do still expect, when we would look out at the full year, to see SG&A grow at a slower pace than sales, but as I said, this can vary sometimes quarter-to-quarter. We've historically operated with a very efficient and effective SG&A structure. It's driven great new product development, technology expansion, and we continue to believe that, that's going to be the same as we move ahead.
Mike Wood - Macquarie Research: Very helpful. And the Cable segment operating margins had a very big move up, how much would you attribute to internal actions versus just the competitive landscape?
Diana G. Reardon: Yes, the increase in margins in Cable was certainly influenced, by some degree, by the big increase in volume that they experienced. In addition to that, I think as Adam said in his comments, the mix of product, there was a mix that included some more value-added-type products where we're able to achieve higher margins. And in addition to that, the particular materials that are used in that particular business, particularly in the Cable, which are aluminum and copper, these are 2 materials that are somewhat better than they were on a year-over-year basis. But from a sequential improvement, this is really the volume and the mix of products.
Operator: Your next question comes from Shawn Harrison, Longbow Research.
Shawn M. Harrison - Longbow Research LLC: Just a quick follow-up to that last point before I get to my other question. With the mix benefit from the more value-added this quarter, do you expect Cable margins to hold within this range going forward? And then the follow-up question is just considering the implied organic growth within the updated guidance for the year, still around 2%, which, while good on an even market is maybe a little bit less than what, I think, people maybe believe Amphenol's potentials to do. And so I guess the question is what end markets could drive upside to that organic growth as we look out for the rest of the year? Just to maybe get you a little bit above, say, where the industry forecast is right now, which I think is around 3.5% and I know Amphenol typically doesn't undergrow the industry?
Diana G. Reardon: Sure. I'll just take the first part of the question. I think that we expect, in the second quarter, to see some volume growth relative to Cable and the broadband market. I think that we would expect, at this point, the Cable margins to be somewhere within the same kind of a range that we see in the first quarter. And Adam, if you want to answer the second question?
R. Adam Norwitt: Yes. Shawn, appreciate the question, and I think relative to the company's organic growth, first of all, we are always prudent in how we look at the performance in the year. We continue to see that there are uncertainties across the markets and the macro environment, and so we believe that this guidance today is actually still a very strong and prudent guidance. To your question of what markets could drive growth and what markets do we have good expectations for. Obviously, some of our markets have great momentum right now. The industrial market, in addition to the acquisition that we've made, has had very strong organic growth. I mean, growing last quarter by 9%, growth sequentially as well by that same amount. And we see in the industrial market, just tremendous opportunities across the board. Automotive, another market where we believe the expansion of electronics together with not such a bad unit growth really creates for Amphenol a tremendous opportunities here. I think the commercial air market is one that we've spoken about as well where we see that, that's a market that should outperform the total company and clearly has potential beyond even those expectations. Obviously, dependent on the timing of when platforms fly and which platforms those will be. But clearly, the order intake by the commercial air industry continues to be very, very strong. I mean, they really do not let up in terms of the number of orders that are being given to the major plane makers. Those are markets where I think we have good potential. We obviously would hope that an IT market where we've had a couple of quarters or more of what I would call a pause, there is absolutely the demand among enterprises and carriers and institutions to upgrade their data networks to deal with the flood of data that is hitting them. I mean, whether it is the mobile devices that are there, whether it is cars that are now connecting to the Internet, you name it, there is just a tremendous, tremendous increase in the type and the quantity of data that is going through the system and that's at every step of the chain, so to speak. And so I believe that the IT market is one where the spending has to come. What is the timing of that spending is very hard to predict. And is that going to be all at once? Probably not. But our companies and service provider is going to wake up and say, "We've got to increase our capacity." I think that will happen at some point. And I also believe that, that same dynamic is true in wireless infrastructure, even if today, we are at much lower levels than that market was in the past, you just have to be a consumer like I'm sure we all are on the phone, to know that the service is still terrible, and that the potential of what the wireless networks can do and can -- the experience that they can provide to their customers is far beyond where they are today operating. And that just means they need to upgrade their equipment. So I think those are markets where you could have performance at the same time, in light of the uncertainties that are around them, this is what we believe is a very strong and very prudent outlook for the company.
Operator: And our next question comes from Sherri Scribner from Deutsche Bank.
Sherri Scribner - Deutsche Bank AG, Research Division: Adam, just following up on some of your comments about the sort of pent-up demand for improved networks. I know that the telecom has been weak for a number of quarters. We've had a bit of an inventory build. It sounds like a lot of companies are a bit more positive on the second half of the year, and I wanted to get a sense from you. Are you seeing more design activity, more interest and are you getting a sense from your customers that we might see some improvement in the second half, or what are your customers telling you?
R. Adam Norwitt: You're talking here about the wireless market, in particular?
Sherri Scribner - Deutsche Bank AG, Research Division: Well, not just the wireless market but also the carrier market and...
R. Adam Norwitt: Sure. I think we saw in this quarter, as I mentioned before, in the wireless carrier market, a sequential uptick in demand, which was very pleasing to see because that had not performed to our expectations previously. And we saw a good year-over-year growth in the IT market, which includes carrier and telecommunication-type equipment. And is that going to be kind of a second half boom? I don't know that I would predict that there would be a boom in the second half. But clearly, in the fourth quarter, there was a tremendous over-inventory position in both of those markets. I think they're working through that inventory in both those markets. And I know that empirically, there is a demand for the equipment and demand for the capacity that, that equipment can create. So I do believe that there can be a good potential for those markets on a sequential basis going forward in the year. Again, what does that mean? Is this kind of a hockey stick? I mean, certainly, we don't anticipate, in our guidance, any kind of such a hockey stick in terms of a massive ramp up in growth in the second half, but I certainly would hope that there would be better performance in the second half than in the first half.
Sherri Scribner - Deutsche Bank AG, Research Division: Okay. And then just looking at your growth rate and the implied growth for this year, clearly, well below your historical growth levels. Would you anticipate that as we move through sort of the slow economic recovery and into more of an expansionary period, would you expect to be able to get back to your past growth levels or do you think we're sort of in a slower growth environment for the company?
R. Adam Norwitt: No. Look, we have always had a very clear mission of the company. And that is to outgrow the interconnect market, and we have done that over the better part of a dozen years by more than double and while doing that to grow our margins at also a faster pace. We do not at all give up on that mission, far from it. I think our team has a tremendous conviction to continue that out-performance on the broader market and interconnect market alone is also has a great long-term potential. I mean, I've referred a couple times to what I termed as a revolution in electronics and that is a revolution that drives new functionalities, it creates new applications and thereby creates higher technology requirements for interconnect products. And so we think that the long-term growth opportunity in the industry and the opportunity for Amphenol to outperform that industry is as strong today as it ever was in the past. You're right, I mean, we are in -- there is a sort of slow recovery, time period that we are in today but no doubt about it, this team, this management team around the world is fully committed and confident that we'll continue the track record of growth and success that we've had in the past.
Operator: Your next question comes from Jim Suva from Citi.
Jim Suva - Citigroup Inc, Research Division: My first question is regarding the M&A processes -- or M&A pricing environment. Have you seen any change in pricing over the last few years, especially with Tyco Electronics buying Deutsche in the low interest rates? Any change in pricing? My second question is you talked about no change in auto from a resin explosion. What about from the Kansas tornadoes, does that impact your commercial aerospace outlook at all?
R. Adam Norwitt: Sure. Thank you very much, Jim. And I think relative to your first question on M&A pricing, look, every company has a negotiation around at an appropriate price. And I think we don't always pay exactly the same price and what our competitors pay for their price, I mean, they certainly all have great reasons to do that, and so I wouldn't necessarily say that there's any sort of empirical change in the M&A pricing or the multiple these companies will pay. Our strategy for M&A is a very long-term strategy. It's one where we incubate relationships with companies, and we eventually reach a meeting of the minds with the owners of that company at a price that is a fair and reasonable price from both of our perspectives. And there's not a page in the newspaper that you can find that says now the new multiple is X,Y, or Z. I don't see, necessarily, that there's a big change. The one thing that certainly we hear some of is that is there a different willingness of people to sell given certain entrepreneurs expectations of tax law changes. That may be something that could happen, not that we have seen any significance, but it's something that you can sort of understand as an outsider, as people think tax rates are going to go up significantly, so maybe they would choose to sell at a different moment. You mentioned as well this unfortunate tornado that hit, I think, Spirit Aero Systems in Kansas, this doesn't have any meaningful impact to us, and we certainly wish them all well in their recovery. I mean, we have our own history in dealing with natural disasters. Not tornadoes fortunately, but floods and I know that, that is a very, very strong team out in Wichita, and I would be shocked if they did not recover at a much faster pace than the outside world would expect.
Operator: And our next question comes from William Stein with Crédit Suisse.
William Stein - Crédit Suisse AG, Research Division: Also on M&A. Actually, it seemed at the end of last year, that prices were going a bit nuts with that Deutsche deal and there was also Esterline or Serio [ph] that was very higher multiple, and I think the deal you did, Adam, that you announced last quarter looked to be at a higher multiple, but the one that you announced today looks actually less costly. And I'm wondering if you can comment on profitability or growth on this deal? And then also, maybe comment a little bit on the backlog. I know it's always full of many different types of deals but I'm wondering if there's been any shift in terms of the size or timing or growth or margin profile of the deals that you see as potentially closing in the next year?
R. Adam Norwitt: Sure. No, I think our deal that we closed in the fourth quarter, FEP, we paid a very reasonable multiple for. It was -- it would not have been a multiple like the ones that you're quoting, of the other deal. And the one that this quarter we also paid what I would consider reasonable and fair multiple for the company, different markets have different multiples as well, different companies have different dynamics and risks to them. Both of these companies were good contributors from a margin standpoint, and so there was not a massive difference in terms of the profitability or the growth profile of those companies. They're both excellent, excellent companies, and we're very proud to have them both now as part of Amphenol. And again, with the management teams together that were running that company before, we have all the same people as part of Amphenol today. And I think that is a unique aspect of how we do on acquisitions and it also adds more to that value question, because for us, what is critical in an acquisition is technology and people. And then is it complementary. And so as you look at these 2 recent acquisitions and you go back even to the CEMM-THOME acquisition which we did earlier last year, all of those companies have not had one change in the management team as they have joined Amphenol. They continue to run it but they run the company in the broader context of Amphenol with the broader opportunities that we can create for those companies. And so our goal, truly, as it relates to these multiples, is that in hindsight, the multiple should not matter, because we will have create a lot of value with those companies, long-term, on the backs of the same individuals who have created that successful business before. Relative to the backlog of our M&A pipeline, I mean, we still feel that's a very good backlog, I wouldn't say there's any difference do it. I mean, obviously, there have been some big companies who have been acquired recently. But that doesn't change the nature of our backlog as a company. We -- it is a fabulous, fabulous industry from the standpoint of the opportunities to acquire entrepreneurial companies with excellent technology that are still complementary to Amphenol. I mean, despite the tremendous breadths that we have as a company, having really industry-leading breadth of products and technologies in market, everyday, we happen upon, it seems a new company that is in fact, complementary despite the incredible scope that we have already built as a company and so that gives me a lot of optimism for the fact that, that program can have good continuation in the future and will continue as Diana referred to in her remarks, will continue to be a good contributor to the growth of the company, long-term.
Operator: Your next question comes from Amit Daryanani from RBC Capital Markets.
Amit Daryanani - RBC Capital Markets, LLC, Research Division: Two questions from my side. First, I was just trying to understand the fiscal year guide a little bit better. I was at the midpoint of your fiscal year guidance, it looks like you're basically implying revenues to grow flat to 1% from June to September, September to December, yet when you talk about end markets, you seem to be fairly positive, I think, in terms of growth expectations in those end markets. So I'm trying to reconcile the delta between a positive commentary on the end markets versus the guide that implies flattish back half. Is that typical Amphenol conservatism or am I missing something there?
Diana G. Reardon: Well, I mean, I think, Amit, as you know, we guide based on what we see at the time. We do a very bottoms-up forecasting process at all of our units and all of our markets. And if think mathematically, what you say, I think, is correct. And we obviously have given guidance specifically for Q2 and then for the full year, not having given it specifically for Q3 and Q4. Q3 can sometimes be -- go sort of either way versus Q2, depending a lot and how the communications markets flow, depending on product introductions, timing and these types of things. And I think that the guidance as we've put it together at this point is what we believe is prudent and makes sense and it's what we expect at the time and as we go along, as we go through Q2 and close out that quarter, we'll certainly update the guidance when we get to that point.
Amit Daryanani - RBC Capital Markets, LLC, Research Division: All right. And I guess could you talk with the debt that you guys refinanced intra-quarter, can you talk about, maybe I missed it, what impact did that have on the EPS for the quarter and for the full year?
Diana G. Reardon: Sure. I mean, the $500 million of notes is at about a 4% rate. These are 10-year notes, borrowings under the revolver are probably less than 1/2 that from a rate perspective, so it did have some impact. And I think you can see that in the increase -- in interest expense, excuse me, between Q4 and Q1. This is something that we felt, made a lot of sense to take advantage of these rates and put in a longer piece of financing than we've done in the past, to give us really more liquidity in the short term under the revolving credit facility to allow us to take advantage of different types of opportunities that may come along during the year 2012.
Operator: And your next question comes from Tony Kure from KeyBanc.
Anthony C. Kure - KeyBanc Capital Markets Inc., Research Division: Just a couple of quick follow-ups. On the interest expense line, I just want to follow-up, I think, Diana, you mentioned that interest expense should tick up a little bit here in the second quarter. With that number as a placeholder, I mean, is that sort of the balance or the level at which we can expect interest expense here going forward for the balance of the year then?
Diana G. Reardon: Yes, I mean, if you -- under this current structure, the bulk of the debt is fixed. So yes, I mean, that would be a good assumption to make.
Anthony C. Kure - KeyBanc Capital Markets Inc., Research Division: Okay. And then just obviously, we talked geographical a little bit about Europe, but there are some concerns about a decelerating China too. Just wanted to get your take on what your outlook would be, or what maybe you've heard recently in regards to demand trends and along the lines of deceleration there if you've seen that?
R. Adam Norwitt: I mean, I think that -- we read the papers like you do and deceleration from 8% to 7.5% or from my 9% to 8%, whatever these numbers are, honestly, we don't see, necessarily, that reflected in our business because we don't care so much about the broader macro trend as much as we care about our people buying electronics and our company's buying electronics. And I think there are certain trends in China, which, long-term, have tremendous positive potential for our company and for our industry. I mean, just think about the automation, it has to happen in China because of the increases in labor rates, and we have talked about these increases in labor rates in China. One of the answers to that is the dramatic influx of automation equipment that has to happen and that's just one example. I mean, the high-speed rail that is being installed, the oil expiration that is happening in China, automotive industry continues to grow. And even if the growth in units is down, the sophistication of the cars, electronics that go into the cars is greater. The domestic commercial aero market is one that clearly has tremendous potential going forward. And so I think that macro numbers shifting from 8% to 7.5% or even if it were to go lower than that, that is not something that I believe necessarily moves our business towards a more negative outlook. We continue to have a very positive outlook for that market.
Anthony C. Kure - KeyBanc Capital Markets Inc., Research Division: Okay, great. That's helpful. And just the last one, on the acquisition sort of closed in early April. So from a revenue standpoint adding to the year, is it fair to just assign a small growth number to that or factor that in for your revenue guidance, that's included in your revenue guidance, right? So would that be a fair, linear way to look at the revenue additions for the acquisition?
Diana G. Reardon: Yes.
Operator: And your next question comes from Steve Fox from Cross Research.
Steven B. Fox - Cross Research LLC: Just one question for me. When you go back over your prepared remarks, Adam, it seems like you highlighted new product momentum in 3 areas. One being mobile phones, another being information and data comm, and third being broadband. Can you just maybe give us a little bit more color on the types of products you're talking about, where they're going into and why you're so excited about those areas?
R. Adam Norwitt: Yes. Absolutely, I'm happy to do that. I mean, I think, with the one where I emphasized it the most was clearly in IT data comm and that is a market where because of the data demands that are being pushed onto the network at either the carrier or the enterprise or the institutional level, that there is just a real, for lack of a better word, a need for speed for our customers. And our innovations that we have been promoting in back link connectors and high-speed I/O and high-speed cable assemblies have really taken stronghold with customers who are just scrounging to find every way possible, to pump more data through the same piece of equipment. And so as the new releases of these equipment come on, and there are releases in servers and new storage systems and new networking hardware, as those new releases come and as they fill their pipeline of product, those high-speed products are one area where we see a lot of potential. Another potential is really in power where again, as related to that data center and the expansion of data center equipment, the efficiency of power that customers are asking for is really accelerating in very much a logarithmic fashion. And so we have been working just intensively with customers, help them enable more efficient power interconnect systems. Those are 2 related to IT. Related to mobile devices, I mean, obviously, our strength in antennas is one area where as customers have to have new devices like a tablet computer, which have to have multiple access points to multiple networks, interaction of those antennas with each other, the sort of isolation of the signal, the ability to fit those products into very, very challenging form factors. These are the kind of new product momentum and innovations that have been very, very significant in that market. I think relative to broadband, Diana mentioned that we have seen really strength as well and some of our value-added products and these are new innovative value-added products that help either in home install or in addition, in the head end. The head end is an area where the interconnect creates a bottleneck, because especially with the cable base high-speed internet, it is really the number of access points in a given piece of hardware that drives the ability to service those high speeds. And so if you can collapse those access points through a smaller form factor, or a higher density solution as one example, that creates then, value for your customers in the broadband. Those are just some examples I could go on, Steve, for hours here and -- but would not want to take everybody's time. I think that, that's -- I think at that point, we would wish everybody well and appreciate again all of your interest in the company and wish you a pleasant continuation into the second quarter.
Diana G. Reardon: Thank you.
R. Adam Norwitt: Thank you very much.
Operator: Thank you for attending today's conference and have a nice day.